Operator: Good day everyone, and welcome to the Telecom Argentina, TEO, Fourth Quarter 2012 Earnings Conference Call. Today’s call is being recorded. Participating on today’s call we have Mr. Franco Bertone, Former Chief Executive Officer of Telecom Argentina; Mr. Adrian Calaza, Chief Financial Officer; Mr. Pedro Insussarry, Financial Director; and Mrs. Solange Barthe Dennin, Manager of Investor Relations. At this time, I’ll turn the call over to Mr. Pedro Insussarry. Please go ahead.
Pedro Insussarry: Good morning on behalf of Telecom Argentina, I’d like to thank you for participating on this conference call. As mentioned by Salia, our moderator the purpose of this call is to share with you the consolidated results of Telecom Argentina Group that correspond to the fourth quarter and fiscal year 2011 ended on last year December 31. We’d like to remind you that for all those that have not received our press release or presentation, you can call our Investor Relations office or download them from our Investor Relations section of our website located www.telecom.com.ar/investors. Additionally, the conference call is being broadcasted through the webcast feature available in subsection and can also replay through this same channel. Before we continue with the conference call, I would like to go over some Safe Harbor information and other details of the call as usually we do in our quarterly calls. We would like to clarify that during the conference call and Q&A session we may produce certain forward-looking statements about Telecom’s future performance, plans, strategies and targets. Such statements are subject to uncertainties that could cause Telecom’s actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effects of public emergency law and complementary regulation, the effects of ongoing industry and economic regulation, possible changes in demand for Telecom products and services and the effects of marginal factors such as changes in general market or economic conditions, in legislation or in regulations. Our press release dated February 16, 2012, a copy of which is being included in the Form 6-K report to be furnished to the SEC, describes certain factors that may affect any forward-looking statements that we may produce during this session. Furthermore, we urge the audience of this conference call to read the disclaimer clause contained in Slide 1 of the presentation distributed earlier. The agenda for this conference call as seen in Slide 2 is, to go over a general market overview, followed by the discussion of the business highlights, a review of our financial figures and 2013 guidance and finally, we’ll end the call with our traditional Q&A session. Having gone through these procedural matters, I’ll go over a brief macro overview as an introduction to the general operating environment. Please refer to Slide 3 of the presentation we include some snapshots on the current Argentine macroeconomic environment. After hard lining of the beginning of the year, the second half of 2012 showed a more stable levels of economic activity, well for 2013 our rebound is expected. With main reasons for this improved scenario are, firstly retention recovery that will not only provide growth in terms of production, but also to generate a possible inflow in the current account, that could contribute to a more relaxed administration of the trade balance – investment in consumption. Secondly, the improvement in the economy, may contribute to – Argentina Industrial exports. Throughout 2012, weak economic conditions dampened growth to 1.9% down from 8.9% registered a year ago. Several sectors like banking outperformed the rest of the economy, well construction and industrial sectors were the main ladders. Product consumption was the main driver of our growth, as – of nominal and wages of close temptation and negative real interest rate encourage consumption over savings. On the contrary, investment levels software from –. Inflations remain at high levels and the same case growth – have increase at a slower pace than previous years. Argentina international trade shrank in 2012 due to the – with an imports declines of 3% and 7% respectively. Finally on the fiscal front the re-performance in the fiscal result increase the flows from the – Central Bank and National Pension Fund – this introduction of a matter of context in which we operate – through the goal of business highlights.
Franco Bertone: Thank you Pedro and good morning everyone. After a difficult second interim quarters we manage to stronger – in the fourth quarter, particularly in the margin operation despite of the macroeconomic context. We did better than competitive at the top line and delivered higher – growth or retaining an increase in mobile revenue share leadership, with a solid 21 year-on-year growth of our service revenue both MNP – success. Market by high – of the market the highest network into the market and especially high quality net as. Our vision about mobile value-added services is staying off consisting growth for the business and brand leadership. In the Wireline business, broadband and data services grew despite of the soft economy. In full quarter, broadband posted in 22% year-on-year increase. ICT business is taking shape and we experienced a significant increase of all the backlogs those on corporate and government clients. – to review 2012 results versus guidance. Targets were met for revenues and operating income before depreciation, amortization, the latter being quite a close call. Revenues performance was 20% year-on-year – growing 20% year-on-year while operating income before depreciation, amortization 10% growth where me met guidance despite a context that prove more challenging than we expected at the time of providing those guidances. Capital expenditures kind of behind guidance growing 2% year-on-year to $3.3 billion, a delay in logistic affected the execution path of the 2012 CapEx programs. Additionally CapEx level was affected by a cancellation of –. Please turn to slide 7 to review our mobile business that continues to outperform competition, not only customer acquisition but especially in revenue share that we consider the most relevant performance indicators. Our share remains in excess of 34%, considering bringing us to market where we have retained leadership. As of December, our subscriber base totaled 19 million growing 4% year-on-year in line with competition. While more than half of the acquired customers were postpaid. Thanks to the – sell out leadership in an improved customer experience. It’s worth mentioning that despite of a single price adjustment performing at third quarter of 2012. That also was limited to the postpaid account only. Mobile internet was 13% year-on-year to 62 basis per month in the fourth quarter of 2012. Please turn to slide 8 for revenue performance. Value-added services hit the 53% mark of service revenues. Thanks to our high-end and youth segment leadership, coupled with the extensive adoption of mobile internet in the mass market of our fixed rate blended internet for –. We continue rationalizing acquisition and retention cost the successful MMP implementation where we bought this in promoting handset upgrades in 3G and smartphones to encourage the usage and also improve extra usage efficiency. As we think to charge the right acquisition pension calls before capitalization decreased significantly in the fourth quarter to 14.2% of service revenue down from 19.7% over year ago. Let’s now turn to Slide 9 for snap shot of our operation, the continuous contributing value to the Company and increasing cash flow generation. – $2.3 million growing 7% year-on-year, postpaid customer rose 21% year-on-year showing a solid market position reported by mobiles in terms of leadership that boosted value-added service revenue. In 2012, revenues converted to Argentina pesos rose 21% year-on-year while operating margin increased to 38%. Slide 10 shows the evolutionary mobile revenues growing 22% year-on-year to 16.1 billion pesos. Mobile Internet posted the highest year-on-year growth rate of 61% followed by Data revenue at 29% increase. Prepaid and postpaid services were up 11% and 6% respectively while – rose by 30%. The data line operation posted 21% growth – accounts were 5% on consolidated mobile revenue. Let’s move to Slide 11 for the performance of our wireline operation. Wireline broadband subscribers rise to 5% while full quarter ARPU rose 22% year-on-year increasing wireline broadband revenues by 21% in the book. This was achieved with profits up selling, video streaming and other services added to our customer base. Our network unit continues to deploy at TTC to increase broadband speed. And it is worth mentioning that broadband penetration or wireline base reach 39%. Slide 12 shows the performance of both wireline were 6%, our book increase was achieved with the stable – was about 3% to 5%. 5% prepaid voice revenue increase was delivered by higher penetration of supplementary services and slot pricing. So this is continuous, unchanged. In addition, in the ICT business, we continue with solid results in creating – backlogs, moving Galderma and private processes. The additional wireline revenue is shown in the next slide, number 13. Third-party revenues totaled ARS6 billion, increased 13% year-on-year. Internet and data service represents 45% of the wireline service revenues and are the main drivers of growth for the business, both seen at 28 and 26 year-on-year growth rates respectively. Slide 14 shows the execution of –. In 2012, we had invested in the business almost ARS3.3 billion, 2% more – only 2% more than last year. Out of this ARS842 million were intangible – – tangible assets decreasing slightly by 4%, mainly because of acquisition and revenue expenditure, related to – implementation were rationalized. Plant, property and equipment expenditure were ARS2.4 billion, increasing 4% year-on-year. Unfortunately, the initial delays in the logistics of our CapEx deployment resulted in – certain projects through 2013. And moreover, the cancellation of the spectrum option had an impact on the so-called CapEx expected to be invested in 2012. We are focused on sort of an effort in the core and access mature improvements to enhance both tolerance and improved customer experience. We also continue extended reach of our network to reduce roaming and are already in – deployment continues and it’s a key to support our long-term strategy in the wireline business. These were the business highlights and our process – financial performance of the quarter again. Thank you. The sudden – just described was reflected in your financials, allowing us to grow both in terms of revenues and profits. In slide 16, you’re showing the evolution of consolidated revenue and operating income before the depreciation and amortization. For the full year of 2012, consolidated revenues reached ARS22.1 billion with a strong growth of 20% when compared to the 2011. Particularly for fourth quarter of 2012, revenues expanded as a19% year-on-year growth rate. It’s worth to mention with revenues coming from regulatory services account for only 10% of –. Operating income – in 2012, we’ve had 10% compared to previous year totaling 6.6 billion pesos and representing 30% of our revenue. Quarterly margins increased more than 200 basis points, thanks to the revenue expansion and to cost control actions and savings in commercial expenses. After the conciliation of mobile number portability process leading to a growth of 16% in operating income for litigation and – in the last quarter of the year. It is worth to mention that before the 19 million pesos one-time restructuring charge, operating income before the – have to be 6,660 million pesos increasing 11% year-on-year and surpassing the target for 2012. Given more if we continue to adjust the fourth quarter, the operating income before the – margin, because this charge – to 32.4%, 140 basis points higher than the one of the fourth quarter of last year. In order to better understand our cost structure, please refer to Slide 17 with the breakdown of our consolidated cost structure as presented. During the last quarter of 2012, the previously mentioned 90 million corporate restructuring program charge was more than compensated by the effort to control commercial costs through – and older handset subsidies with the – in postpaid customers. – note that discontinued government subsidies – services – approximately 50 basis points loss in margin. Let’s now turn to Slide 18. Where you can see the 2012 operating income total almost 4 billion pesos with an 18% margins while the growth in fourth quarter reached 17% within year-on-year. This regards together with positive financial and holding results – to both net income attribute to Telecom Argentina of 2.7 billion pesos equivalent to 12% of consolidated revenues representing a quarterly net income of 794 million pesos and 23% increase when compared with the last quarter of 2011. Regarding our financial position – flow generation for the last 12 months of ARS1.4 billion performing very well, particularly in the last quarter of the year. The Telecom Argentina Group reached a net cash position of nearly ARS3.6 billion after having paid a cash dividend to its shareholders of ARS807 million in last May and ARS24 million to a minority shareholders –. It is worth mentioning that the group after following a cash generating approach in the recent years, that’s not outstanding debt instruments and that should be in operations. And in July, a rich cash position, a significant positive factor given the provisions local and international financial conflicts. Going on the presentation that we approached to the end, please turn to the slide 21 to revise the business guidance for this year. Southern region revenue growth so come from improved customer experience of mobile data and increased broadband wireline transition. Double-digit operating income before the recession and more decisions shall be delivered additionally from – operation and – cost, with improved quality of service in the better customer –. We saw leverage our market – leadership to rationalize acquisition and retention costs. We still continue – overhead expenses. Additionally, we are expecting a significant increase in 2013 CapEx up to ARS4.7 billion, representing a 70% of revenues and more of a 40% growth year-on-year. Our commitment to service quality and network – for both wireline and wireless services will drive our efforts with the main focus of this to improve customer experience. The 3G device for mobile internet and the – into our fixed network will sustain the CapEx over revenue ratio close to 17% for the following two year. Investments are always conceived for us with an integrated and conversion approach, dig into cost efficiency and superior capital allocation. So having concluded with the presentation, let me pass the call back to Franco for the final remarks.
Franco Bertone: Well. This is my last call as CEO for Telecom Argentina. As a matter of fact, yes, the Company appointed a new CEO that many of you know may know Stefano de Angelis from – Group headquarter that has been appointed as of yesterday, and – it could be today, but it would have been nice seeing –, although as I told you most of them – most of you know him already. So I think we should – handed over back to you for your questions, and we’ll be very pleased to answer. Thank you.
Operator: (Operator instructions) And our first question is from Rodrigo Villanueva with Merrill Lynch.
Rodrigo Villanueva – Merrill Lynch: Hi, good morning. And thank you for the call. I was wondering if you could give us an update on the potential for paying dividends with 2012 earnings. When shall we expect to hear about a potential dividend and how do you feel the government is behaving in terms of dividend distributions this year. That will be my first question. Thank you.
Franco Bertone: Well, it is as – I’d laugh. Yeah, it’s a bit early question now. But certainty is an important discussion we are currently having in the board and among shareholders. I think that we will come up with a proposal to this in general meeting in –, but not too late. And in general terms, I would say that we’re – we’re confident of the good experience. I mean, although we did reduce payouts that we had last year where –, the Indian company that paid the – highest amounts in dividend. This year, though we’ve already new pages of – Corporation that have managed into – did deduce cash to that shareholders. So – our last year experience and what is currently happening with other companies in the market, we think we can come back to you with some good news in not much of a long time.
Rodrigo Villanueva – Merrill Lynch: Okay. Thank you, very much. My next question would be on CapEx, which would be the main use of these 4.7 billion pesos. Why would you be doing with this amount of money if you could give us more color on this respect, that would be very helpful? Thank you.
Operator: (Operator Instructions) And our next question is from Ricardo Cavanagh with Itaú BBA.
Franco Bertone: Hold on we still have a second question coming from Rodrigo.
Operator: Okay. I apologize.
Adrian Calaza: Yeah, we’re trying to adjust, okay.
Franco Bertone: Thank you. Well the CapEx, we are projecting for the 2013 is going to be high and aggressive. And basically, we can certainly provide you details about that, but in general terms you should really consider that our network platform particularly for mobile services is undergoing and is not something we’ll be stopped doing in 2013. It is also that we have been initiating over a year ago, is undergoing a major restructuring of the existing hardware and software of the network for 3G technology. To cope with the growth of traffic of data traffic that is being very wide, opening a very high in the industry and globally as the very high in Argentina industry has been even much higher for us that we had a clear leadership in that market. So the usage profile of our customer is shifting very rapidly from user make use of their terminal to make a occasional voice call or send text messaging or making a occasional browsing on the web. Each of the terminal data connected all the time, and all the time they are online. The reflection of these customer behavior that obviously we do promote that is generating our growth – already in your 10 hours revenue leadership in the market. As they erect very significant consequences on how the network is sized, destructed and is completed. And that’s what we’ll be concentrating particularly next year to make sure that the growth potential of the market and the growth potential of our brand in our business doesn’t get restricted by technical restrictions or elements that related to technology spectrum or other sector of the nature. So really targeting to stay ahead of time and growth the network get back –, before our client require.
Adrian Calaza: Thank you very much Frank, very clear. And all the best in your future endeavors.
Rodrigo Villanueva – Merrill Lynch: Well. Thank you.
Franco Bertone: Thank you.
Rodrigo Villanueva – Merrill Lynch: –, can we move to the following question please.
Operator: Yes. We’ll go to Ricardo Cavanagh with Itau BBA.
Ricardo Cavanagh – Itau BBA: Yes. Well, good morning – and I have two questions. The first one is on mobile revenues retail buys, which is the outlook, looking into 2013 for growth in that service, if you can describe a little bit which has been – explaining the 11% growth this year. And secondly on the competitive landscape, well last year the frequency auction was suspended it was announce that a company name – was going to take more that frequency, are you expecting or how you’re seeing the competitive landscape evolving after – with that announcement. How do you – that next year or few years to come. Thank you.
Franco Bertone: – give us two minutes, give us 30seconds till we got.
Ricardo Cavanagh – Itau BBA: Yeah, Okay. Thank you.
Franco Bertone: The 2012-2011 10% revenue increase, these result you can expect in the near future and to be maintain that most likely with some dilution of the growth rate, may be for the commercial policy and positioning the market if targeting obviously data and browsing services. So I think that, as much as the growth of line of our subscriber base has been continuing on single-digit for the last two years or less the retail and the wholesale market likely to get in the high single-digit over the next few years, that’s where we see going. As far as the – how we see the market shape with the entry of a – organization that you mentioned. Well, we believe that – since we have also the difference in those mixed outings since many, many years. Something like that could have happened under different condition, I mean the entry of the fourth GSM operator with the future optional additional licenses, – local player sponsored by the government that remains unlikely that an additional player will come from off by the market. I think there is a lot of room of – for the corporations with the state organization, we are doing that already into the long distance – with program of slopping exchanging fiber capacity that has helped rationalize. – certainly help that entering the market is also helping very much out into rationalize certain items of structural infrastructure that we need to expand year-by-year. As far as the mobile operation is concerned, given the penetration of these services in Argentina markets, given the population coverage that is close to a 100% and the geographical coverage is very high as well. We do not believe that the clear intention of outside that is go and complement the mixing in the short for those services – operator and therefore the coverage of area that currently do not enjoy mobile service, we’re represent anything significant on the competition landscape in terms of number of users compared to the customer base that we established operator already have. So we do believe that in general terms business planned for the mobile operation will not be significant – from what we had planned the last year because of the new –.
Rodrigo Villanueva – Merrill Lynch: Okay, well thank you very much and for your future. And thanks again.
Franco Bertone: Thanks. Thanks to you.
Adrian Calaza: Thank you
Operator: (Operator Instructions) And next we’ll go to Michel Morin with Morgan Stanley.
Michel Morin – Morgan Stanley: Thank you. A couple of questions. Frosting terms of your guidance, you say positive double-digit, I mean that’s almost a very, very wide range from 11% to 99%. So I was wondering if you could help us a little bit, maybe by talking about whether or not you think you can keep pace with inflation, and the assumption here being that inflation is somewhere in the mid 20s? And then secondly, on your margins, 2012 was a down year, but you ended on a positive note. So kind of related to the first question, is there any reason to think that in 2013, you might be able to protect – to better protect your margins on a full year basis? And then secondly, your cash is piling up. There was a question earlier on the dividends. I was wondering, is there any other way that you’ve been contemplating returning cash to shareholders? Thank you.
Adrian Calaza: Hi, Michel. This is Adrian speaking.
Michel Morin – Morgan Stanley: Hi, Adrian.
Adrian Calaza: On revenues, let me tell you that, yeah, it is a wide range that will be – we know. But you should think of the same range of last year, 2012, that should be something approximately. So speaking about keeping pace on inflation, the official inflation is around 10% to 11%. And there are a lot of – again, the range of inflations that we have is very wide. So we feel that we are doing work our best effort trying to deliver results, as we did hitting the context. On your last question, both dividends, I think that Franco will answer.
Franco Bertone: Okay. Enough. We think that by this moment, we said we can –.
Michel Morin – Morgan Stanley: So, there’s no other way that you can return cash to shareholders either via buybacks or other types of transactions?
Franco Bertone: Yeah. I think there are ways. We are now in a period of all that we cannot comment anymore.
Michel Morin – Morgan Stanley: Okay. And then, sorry, just go back to the first question on guidance. I mentioned inflation, but I guess the other yardsticks might be kind of what you expect to have to pass them to your employees as part of the annual negotiation that’s coming up? Would you expect to be able to keep pace at least with that as a benchmark? And I guess, maybe Adrian, you can comment more broadly on what you’ve been able to do to raise prices recently and what the outlook is for you to do that in the coming months?
Adrian Calaza: I would answer the first question. Our emerging negotiations are around July. So, you need to be here. I don’t know if we are lucky or unfortunately we are the last ones in the negotiations. So I think that for that time of the year, the number will be already set. So yes it’s maybe too soon. We can tell that the first negotiations that we read were around 22% last month of yesterday or Tuesday. The electricity union signed an agreement over around 33% in a year, but an instead similar range for us.
Franco Bertone: Okay. In terms of price affecting inflation to price we are – we came out in 2012, that it was very severe in that respect. I mean it was –, sorry. We decided not to make this count, all specific order for packages to improve our attractiveness with the number portability and do not do that, but on the other side we did not maintain a carried as we have been doing in the previous year. Given the quite effective is all we had with the portability and that was really part of the plan. We retouched our type on this whole C segment in October, quite late I mean to have a significant impact on the – that, really were contrary and I saw in 2013, and we added already at the very beginning of the year the maintenance program for the target that would not affected by the rain of October. So, basically as of January this year all the customer base has been re-aligned recovering the gap we lapsed going last year. So for 2013, we have a more comfortable guidance right from the beginning of the year, with prices that has been readjusted for all our customer base at 14 or 12 month period. And that’s part of our confidence of expecting to maintain and providing good guidance for 2013 as well. On the other side I mean really to consider the fact that our guide structure is moving constantly towards flat rising and its – and therefore the percentage carriage that are announced and inform for regulatory obligations I mean to the market and to the customer and by the different operators in this market as an exact of the actually income of the company very, very different because the only effect that basically the traffic helps minutes for example that do exceed the track pricing on the packages. So and its quite a complex matter to our representative those effects and we actually prefer to maintain our pricing level launching new task and launching packages that carry along a larger content of traffic, data or supplementary services rather than maintain the same product and increasing their nominal price that’s how we see things going.
Michel Morin – Morgan Stanley: Great, thank you very much.
Franco Bertone: Welcome.
Operator: And our next question is from Federico Rey with Raymond James.
Fedrico Rey – Raymond James: Yes. Hi, good morning. I have a question regarding the – – that you are posting on the page 10, as your percentage. You are showing that 29% year-on-year increase in data, how little – How much this comes from usage and how much from price increases and if you believe this level of course a sustainable or now then it has to follow-up percents on CapEx and –. Thanks.
Franco Bertone: That’s very much in line to the answer I gave a while ago. I mean it’s, because the way we sell data and the way the product package, you can consider that vast majority. I mean 9 out of 10 peso’s of this increase year-on-year comes from volume and customer base and not from pricing.
Fedrico Rey – Raymond James: Okay, thanks. And regarding CapEx you mentioned that you expect to be aggressive in this respect that would be a returning to an average of 17%, to revenue coming from the 15% recorded this year?
Franco Bertone: That’s a very good appreciation. We’ll say around 17% certainly for 2013.
Fedrico Rey – Raymond James: Okay. And final question regarding the event. When do you expect to have the shareholders meeting.
Franco Bertone: That will be mid-April.
Fedrico Rey – Raymond James: Okay. Thank you very much.
Franco Bertone: Okay.
Operator: Our next question is from Michel Morin with Morgan Stanley.
Michel Morin – Morgan Stanley: I have just a follow-up. I think in the opening remarks you talked about the outlook for 2013 at the macro level being better. You were looking better then 2012. So, I was just wondering if you could elaborate a little bit on that. I mean is that something that you are actually seeing in the business today. And then secondly, can you maybe walk us through how would see yourself being impacted, if we were to see a more sudden currency devaluation considering what the parallel rate is, for example. And more specifically should we think of your CapEx budget as being really in dollars or in Argentine Pesos? Thank you.
Franco Bertone: Mitchell, I’ll take the question and Enrique will address the second one. With respect to the economic activity, we are expecting GDP growth around between 2% to 3% for the year. After pretty difficult say first – sorry, second our third quarter last year with very moderate recovery in the fourth quarter. and we are trying to see probably in this first quarter of 2013. Some indicator is that – could show that there is sized growth coming through. So, we’re expecting steady better 2013 in terms of economic activity. And, in general terms, we’re starting to see some moderate cycle of growth.
Enrique Garrido: Yeah. Your second question. We’re almost neutral to the steady valuation possible by the valuation on our P&L. We have a richer – scale we did in the U.S. dollar, but we also some revenues that were made in the U.S. dollar. On the CapEx side, it’s a bit different. you should think that around 50% or 60% over CapEx, it did not have anything in special. And the rest to maybe in foreign currency. That would win working a lot also on this side, working in price. That was very helpful. This side the agreements have been reached also being part of – group. So, I think that the effect should be very limited. The only thing that – I don’t have the answer to it. If the higher evaluation can defect the initiation rate. So, this could be an effect better on the foreign exchange side and we don’t think that we have – could have been – on the P&L.
Michel Morin – Morgan Stanley: Great. Thank you, very much.
Operator: And there are no further questions at this time.
Franco Bertone: Well, thank you very much for being at our call today. Thanks from me and from the Company and thank you for the wishes you’re making for. I always see other opportunities in different geography. So, thank you so much. And our Investor Relations Group obviously will remain – for any comment current or follow-up for today’s call. Thank you.
Operator: This concludes today’s presentation. Thank you for your participation.